Operator: Greetings. Welcome to Torrid Holdings, Incorporated Fourth Quarter Fiscal 2022 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Paula Dempsey, Senior Vice President of Finance and Investor Relations. Thank you. You may begin.
Paula Dempsey: Good afternoon, everyone, and thank you for joining Torrid's call today to discuss the fourth quarter and fiscal year financial results for 2022, which we released this afternoon and can be found on our website at investors.torrid.com. With me today on the call are Lisa Harper, Chief Executive Officer of Torrid; and Tim Martin, Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you of the company's safe harbor language, which I'm sure you're familiar with. Management may make forward-looking statements, including guidance and underlying assumptions. Forward-looking statements include, but are not limited to, statements containing the words expect, believe, plan, will, may, should, estimate and some other expressions. All forward-looking statements are based on current expectations and assumptions as of today, March 23, 2023. These statements are subject to risks and uncertainties that could cause actual results to differ materially. For a further discussion of risks related to our business, see our filings with the SEC. This call will contain non-GAAP financial measures, such as adjusted EBITDA. Reconciliations to these non-GAAP measures to the most comparable GAAP measures are included in the earnings release furnished to the SEC and available on our website. With that, I will turn the call over to Lisa.
Lisa Harper: Thanks, Paula. Good afternoon, everyone, and thank you for joining us for a discussion of our fourth quarter and full year results. Before I begin, I'd like to thank the Torrid team for their dedication in providing our customers with exciting new products and a compelling customer experience. We've navigated a year of retail challenges with new leadership in many parts of the organization, elevated inventory levels resulting in a higher promotional environment and decreased customer discretionary spend. Despite all of this, the team has accomplished a great deal in a short time. I believe that the changes we've made have been essential to reignite profitable long-term growth. I'm also very happy to announce the return of Mark Mizicko to Torrid as Chief Commercial Officer. Mark previously served as the Chief Operational Officer of Torrid back in 2016. And prior to that, he served us as Chief Planning Officer of both Hot Topic and Torrid. He brings a wealth of experience and expertise in retailing and we are excited to have him rejoin the team. Mark will be leading all aspects of margin optimization, inventory planning and buying as well as working with Vivian Alhorn, our Chief Marketing Officer on marketing and e-commerce activities. Essentially focusing on all things that drive product sales for the company, we believe that with Liz Munoz focused on design, Vivian's expertise in marketing and e-commerce, my involvement in product selection as well as Mark's leadership of inventory planning, marketing, e-commerce and planning functions we have a strong team focused on delivering the very best product for our customers. Now moving into our fourth quarter performance. We delivered net sales at the upper end of our guidance range. Customers responded favorably to our Black Friday and Cyber Monday events, taking the pressure off to our cash later in the quarter. Our gross margins began to stabilize in the fourth quarter as the rate of gross margin declined significantly lower than the third quarter. This sequential improvement in gross margin enabled us to exceed the upper end of our guidance, delivering an adjusted EBITDA of $16 million. Our primary focus for '22 was on enhancing the organization's focus in order to reignite sustainable long-term growth. We brought on Tim Martin, our Chief Operating Officer and Chief Financial Officer; Han Park, Chief Technology Officer; Bridgett Zeterberg, Chief Human Resources Officer and Chief Legal Officer; we promoted Vivian Alhorn to Chief Marketing Officer, and we have now brought on Mark Mizicko as our Chief Commercial Officer. These new leaders have a wealth of experience from public and private retail and consumer-facing companies, and they will be instrumental in bringing our teams into alignment and driving our strategic initiatives. We also invested in new technology across the business that will enable us to provide customers with a more seamless experience moving forward. In the distribution center, we put in place new technology that has increased our capacity and allows us to deliver product to our customers faster than ever before, much improved over last year. Our new ERP system provides the foundation for an improved shopping experience on the website and enhanced data integration across the organization. Within inventory and product, we prioritized rightsizing our inventory with the goal of entering 2023 with adequate levels to support demand and the environment. Although we had to be more promotional to move these units last year, we were successful in these efforts, and ended the year with inventory up only 6% compared to prior year, with the year-over-year increase coming solely from basics and early spring receipts. Normalizing for these categories, we were down 5% to the prior year representing the most efficient levels of inventory we have seen in some time. We know that new product consistently drives customer anticipation and demand. We delivered new collections to her this year with the successful relaunch of our Studio collection, relaunch of testing and other collaboration with Betsey Johnson and a refined focus on delivering more colors and fashion forward pieces that drove frequency and demand from our loyal customer base. And finally, we focus on expanding our customer file through reengagement of lapsed customers and new customer acquisition. We shifted our marketing efforts toward customer retention, bringing back lapsed clusters and reaffirmed our commitment to attract new customers into our brand through our store channel. These efforts allowed us to deliver an increase in our active customer file this year. Overall, 2022 was a year of new learnings transformation and laying the groundwork for the brand's continued success and expansion. We believe that the changes we made this past year were critical to set us up for future growth. As we look ahead to 2023, we will continue to expand our store footprint driving customer file growth, delivering exciting merchandise to fill every need in our closet and enhance our customer relationships. With these key areas in mind, we will keep investing in optimizing and growing our store footprint to acquire new customers into the brand and expand our customer file. Our store base is profitable, and they remain our primary new customer acquisition channel. New stores drive significant web sales from newly acquired customers and the net spend of these customers in the first year is approximately 25% higher than that of web acquired customers in their first year. Customers developed a connection with our product and brand by interacting with us in our stores. We are committed to bringing customers into our stores where we believe a compelling and personalized experience will increase engagement and loyalty. We plan to open between 30 and 40 new stores in 2023 as stores are proven competitive advantage for this business. We understand the customer loyalty is determined by our ability to provide her with new and innovative products that increase our frequency of purchases. In 2023, we plan on launching a steady stream of new products across multiple categories to peak her interest and increase her engagement with the brand. The new products we introduced generated positive feedback in customer interest, and we will build on this throughout the year. In terms of marketing and promotional strategies, we are focused on improving our promotional cadence. We plan to offer a more consistent flow of smaller, exciting events to engage our customer and drive spend frequency. As part of this, we are redesigning our toward cash promotion from a quarterly event to smaller and shorter events throughout the year. This change will reduce our reliance on large Torrid cash events at the end of every quarter. While there is a lot of discussion in the retail industry about the macro environment, we will remain laser-focused on what we can control. We believe that the product and operational improvements we've made will position us for success and allow us to focus on key areas that we know will drive the business, such as enhancing the customer experience, driving productive growth in our customer file and delivering exceptional product. I am thrilled to see our team continue to provide our customers with world-class fitting products that are truly life-changing as well as unmatched in store customer experience. With that, I'll turn the call over to Tim, who will provide more detailed quarterly and annual financials.
Tim Martin: Thank you, Lisa, and good afternoon to all of you. Before I begin, I'd like to recognize the Torrid team for how much they've accomplished while navigating through uncertainties associated with all the changes they dealt with this past year. We implemented operational and strategic changes that have improved the foundational health of our business, and we focused on controlling what we can control. I believe that the changes we made will allow us to increase shareholder value and deliver long-term growth. I would like to begin by highlighting the accounting policy change that you may have seen in today's press release. In the fourth quarter of fiscal 2022, we made a voluntary change in our accounting policy regarding the classification of private label credit card funds. Historically, we recorded PLCC funds as a reduction to SG&A expenses. Under the new policy, we record PLCC in net sales, and all metrics reported using net sales will be impacted. We believe the recognition of the PLCC funds in net sales is preferable because it will enhance the comparability of our financial statements with those of many of our industry peers and provide greater transparency into the performance metrics related to our industry. This reclassification has been retrospectively applied to all periods discussed in today's prepared remarks. I will now provide a detailed discussion of our financial results followed by our outlook. Starting with the fourth quarter results. Net sales came in at $301 million compared to $318 million last year. Comparable sales in the quarter declined 5.4%. We had a strong start to the quarter as customers were eager to shop doing our Black Friday and Cyber Monday events, which took the pressure off our Torrid cash event later in the quarter. Gross profit for the fourth quarter was $96 million or 31.9% of net sales compared to $104 million or 32.6% of net sales in the fourth quarter of last year. The 70 basis point decline was primarily driven by promotional events and higher inflationary costs, partially offset by the higher PLCC funds. Selling, general and administrative expenses in the quarter were $78 million compared to $70 million for the fourth quarter in the prior year. As a percentage of sales, SG&A increased from to 25.8% from 22.0% compared to the fourth quarter of last year. The increase of 380 basis points was primarily driven by higher wages onetime expenses related to employee separation agreements and disposal of assets and other miscellaneous items. I should note that approximately 110 basis points of our increase is related to unusual items with 70 basis points related to severance, which is in our adjusted EBITDA add-back and 40 basis points related to the disposal of assets. We continue to be focused on controlling the controllables and leveraging SG&A as we see sales volume increase going forward. Marketing expenses in the quarter came in at $16 million compared to $17 million last year. As a percentage of sales, marketing expense was relatively flat last year at 5.3% compared to 5.5% in the fourth quarter of last year. Net loss for the quarter was $4 million or a loss of $0.04 per share compared to a net loss of $23 million or a loss of $0.21 per share for the same period last year. We did not have any adjustments to net income in the fourth quarter of 2022. But for comparison purchases, adjusted net income last year was $10 million or $0.09 per share. In addition to the GAAP measures, we believe that adjusted EBITDA is an important measure that we use to evaluate and manage our business. Adjusted EBITDA came in above our guidance range at $16 million or 5.4% of net sales compared to $28 million in the fourth quarter of last year or 8.9% of net sales. Now turning to our fiscal 2020 results. For the full year, net sales were down 1% to $1.29 billion compared to $1.30 billion last year, and comparable sales were down 3.4% to last year. Although we delivered an increase in transactions and units sold, we saw lower average order values that impacted our total sales. Our total customer base grew by 2% in fiscal 2022 to 3.9 million customers and net sales per customer was down 3% to last year. The size of our loyalty program, our customer loyalty program grew from 3.5 million customers in 2021 to 3.7 million customers in 2022 as they represented 95% of our total sales. We continue to be focused on delivering product anchored in a compelling fit, which we believe delivers an industry-leading return rate and speaks to the quality of our fit and assortment as evidenced by our 10% return rate. As mentioned in prior calls, we renegotiated a new private label credit card agreement this year and continue to see growth and positive reception to the program. In 2022, over 30% of our sales came from the private label credit card. And we saw higher tender share rates coming from our most valuable VIP customers and new customers shopping the brand. Our private label credit card has been instrumental in helping drive frequency and retention from our customers as evidenced by our credit cardholders spending more than 2x more than noncredit card holders this past year. We opened six Torrid stores and six Curve stores in the fourth quarter, and we closed two Torrid stores. We opened a total of 18 Torrid stores and 8 Curve stores in fiscal 2022, and we closed 11 Torrid stores. Our stores continue to be our primary acquisition channel to bring customers into the brand, and customers acquired through our stores are more likely to shop in both channels and be found omnichannel customers. This behavior strengthens our channel mix contributing to a 61% e-commerce penetration rate in 2022 and compared to the 63% we delivered last year. Our omnichannel customers also shop 3.4x more than a single channel customer and drove over half of our total sales across the brand. Gross profit in fiscal '22 was $460 million or 35.7% of net sales. Adjusted EBITDA was $152 million or 11.8% of net sales compared to $246 million or 19.0% of net sales in 2021. Although we were promotional in order to clear our inventory and what the retail industry has referred to as a difficult macro environment, we still delivered double-digit adjusted EBITDA margins, which speaks to the strength of our brand and its ability to drive profitability. Net income for the year was $50 million, or $0.48 per share compared to a net loss of $40 million or $0.27 per share for the same period last year. For comparison purposes, adjusted net income for fiscal 2021 was $121 million or $1.10 per share. Turning to the balance sheet. Our cash and cash equivalents at the end of fiscal 2022 totaled $14 million. Total liquidity at the end of the year, including available credit was $147.8 million. Total debt at the end of the year was $329 million, compared to $341 million at the end of 2021. Our net debt to adjusted EBITDA was 2.1x at year-end. Inventory at the end of the quarter was $180 million, an increase of 6% compared to the $171 million in the prior year. The increase is from early spring receipts and basics, which have a longer life. We are very pleased with the quality of our inventory and excluding the spring and basics, our inventory levels were down 5% to last year, putting us in a good position as we enter 2023. Turning to the outlook for the year. Our outlook is based on our current understanding of the environment and business trends. However, we continue to operate in an uncertain macro environment in 2023 and material changes beyond our control may have an impact to our projections. For the full year, which is a 53-week for 2023, we expect net sales to be between $1.265 billion and $1.320 billion. We anticipate that growth will be secured towards the second half of the year owing primarily to the net new stores and 53rd week reporting period in the fourth quarter. We estimate that adjusted EBITDA to be between $140 million and $152 million. Although we expect to see gross margin stabilization for the full year, we are funding a slight increase in SG&A primarily due to incentive compensation plans. In the first quarter of 2023, we expect net sales to be between $305 million and $313 million. Our guidance incorporates deceleration of demand trends we've seen in the most recent quarters as we navigate through the current environment. We estimate that adjusted EBITDA in the first quarter to be between $35 million and $40 million. This assumes the same continued pressure on our gross margin rate as we comped a tighter comparison to last year. Capital expenditures are projected to be between $40 million and $45 million for fiscal '23 and reflecting infrastructure improvements and investments in between 30 and 40 new store openings. Our new stores in 2023 are planned late in the third and fourth quarter with the majority of the stores opening in the fourth quarter. We are also planning to close five stores this year. In closing, we navigated a number of challenges still delivered a double-digit adjusted EBITDA margins and profitable net income for the year as well as growth in our customer file. As we look ahead into 2023, we believe that the changes implemented in the past year will position us to deliver positive long-term growth for our shareholders. We will remain focused on the results that we can control, emphasizing a customer experience, productive customer file growth and ensuring we have the best quality of product. With that, I will now turn the call over to the operator for questions.
Operator: [Operator Instructions] Our first question is from Lorraine Hutchinson with Bank of America. Please proceed.
Lorraine Hutchinson: Thanks. Good afternoon. I wanted to follow up on the changes you're making to Torrid cash. Have you been able to test these? And what's the customer reaction look like?
Lisa Harper: So we've just tested our -- we're in the midst of testing our first shift in the first quarter. So normally, we would have the redemption rate towards the end of the quarter. This year, we've had an earlier toward cash redemption time period about, I guess, 10 days ago, it ended, and we'll have another one towards the end of the quarter. A lot of the shipping for that redemption rate will happen and move end of the second quarter. So we'll have a better indication of how we see that moving forward. Lorraine, I would say that we're offsetting kind of the historical strength of the Torrid Cash program, which has softened in the last year with other types of promotional stories for the customer. And we've been testing many of these over the past since I arrived at the company, hampered a bit by the large inventory position that we had last year. But have accumulated a lot of very positive learnings in terms of how to promote and then compel the customer at a much more positive and healthy gross margin return on that. And so one of the reasons we're bringing -- I'm very excited about bringing Mark into the company as he has an extensive amount of experience and not just inventory management and planning but also in margin optimization through these promotional elements. So, more to come on this, but what we've done is really this year, mitigated the risk of the program as we saw it softening over time by switching it to fix smaller time period and also augmenting that with other promotional activity that has been very margin accretive at this point in the testing stage.
Lorraine Hutchinson: Thank you. And then on the gross margin front, can you speak a bit about the product cost inflation that you expect and any transportation savings that you think will flow through this year.
Lisa Harper: Sure. So we do feel that and have plans that we will have some recovery in gross margin this year. As we are moving towards the back of the year, we're starting to see some improvement in first cost on product, and we're also starting to see some improvement as we have been seeing and we'll continue to see in freight. But that is an inbound freight and outbound freight related to customer delivery is still growing and expanding. So it offsets some level of that. But we are seeing some improvement in costing. We also brought in a new SVP of product development and sourcing last year. And his strategies are in terms of new vendor bases and new country of origins that have the quality that we expect are being able to be integrated into our sourcing strategies and those are also helping our cost of goods as we move forward.
Lorraine Hutchinson: Thank you.
Lisa Harper: Thank you.
Operator: Our next question is from Dana Telsey with Telsey Advisory Group. Please proceed.
Dana Telsey: Good afternoon, everyone. And nice to see the progress that you're making. Can you give us an update on the Studio line, what you've seen from the Studio line, how it's performing relative to your expectations? And as you went through the fourth quarter, how was the exit rate? And Lisa, how would you define the health of the consumer? And then just lastly, with the SG&A uptick slightly, how do you think of that cadence through the year if you unpack the measures of the margins going forward? Thank you.
Lisa Harper: Thank you, Dana. We're really pleased with how Studio is performing. The core product there for core fabrication is [funky], but we also have four to five other fabrics that we've been testing and that will become part of the core assortment of that line. We are expanding as we move forward and adding polished denim, or studio denim in that line, some what I would call studio streetwear. So very happy. We see any time that we introduce a new idea is very compelling to our customer. It drives frequency, it drives conversion and a need to need that she absolutely has -- so that's exciting. We have learning in it now, and that's a woman blend, and that's doing well in addition to that. So great launch and more opportunity as we move forward. I'm not quite sure your second question about the fourth quarter. Can you?
Dana Telsey: The cadence of the quarter, how are you seeing the health of the consumer as the quarter ended? Or any update on how the consumer is?
Lisa Harper: Sure. So what we've seen is some positive momentum over the fourth quarter back to stores, which was very exciting. And at the beginning of this quarter, we also saw an improvement in store traffic. It has become choppy in the last couple of weeks, but we -- there's a lot of seasonality and lots of different conversations that could be had about that. But some really nice green shoots in terms of the customers' recovery and return to the stores. That, combined with our focus in the stores on customer acquisition and getting that customer to the dressing room. So -- and tracking conversion rates in the stores in conjunction with traffic, we're seeing some nice improvement there. And the focus of getting the customers to addressing room, the conversion rate almost doubles what you get a customer in the dressing room. And so we've done some additional training in the stores and onboarding in the stores that really focuses on that customer journey, and we're seeing some very positive reaction from that, both from customer acquisition as well as conversion. Again, nice positive shoots a little bit choppy on the store return. And actually, we're seeing some -- now we had a little bit of softness online, I think as a lot of people have discussed and we're seeing a bit more of a shift back online. Again, we look at it as an omni customer, and we baked in what we think are the most likely scenarios for this year with, again, one more year of really having a lot of moving pieces on the macro front that could have an impact at any time. And so really managing this as Tim says, controlling the controllables and being nimble and aggressive and a multi-tier environment. So I'm happy with some of the things we're seeing, looking for margin recovery this year, really thinking about that done in 2 steps on the merch margin side. And then I'll let Tim who always love to talk to me about SG&A, tell you about SG&A.
Tim Martin: Dana, from an SG&A perspective, I think on a full year basis, we are going to see a slight deleveraging just because of the return of incentive compensation, although we're going to do everything we can to mitigate that over time. I think you'll see that start to improve itself by the back half of the year as we expect that the sales velocity in the back half will be better than the front half. We are still seeing a lot of the same things that other retailers talking about around wage pressure in stores and things like that. But we are focusing on a lot of efficiency activity around how we staff our stores, how we staff and run our distribution centers overall costing programs in terms of understanding how we source non-merch procurement, and my goal is to drive that number down as we talked about controlling the controllables and find a way to drive leverage in that number.
Dana Telsey: Got it. Thank you.
Lisa Harper: Thanks Dana.
Operator: Our next question is from Mark Altschwager with Baird. Please proceed.
Mark Altschwager: Good afternoon. Thank you for taking my question. I guess, first, with respect to the revenue guidance, it does imply a strengthening trend as we move through the year. Can you talk a little bit more about what's giving you the confidence there? And key drivers you'd call out aside from the timing of the store openings and the 53rd week as you mentioned? And then just also on the revenues, any color on your underlying expectations on customer growth versus spend per customer?
Tim Martin: So we do expect that we will have easier comparisons, by the way, in the second half of the year. The new store growth will be an opportunity. And then we're seeing that we're getting more and more receptivity to new product launches, and I think we're excited about sort of what we're going to see that contribute over the course of the year. So it's a combination of all of those things. So the easier comparison being one of the major aspects of it.
Mark Altschwager: Okay, thank you. And then on gross margin for the fourth quarter, results were a little bit better than we were looking for and it seems like you beat perhaps your plans. I know the quarter was really about clearing the inventory to set you up for a better 2023, but curious what drove the upside or the better trend maybe than expected in the fourth quarter? And if there's, any takeaways from some of the test and learning that you're doing on new promotional tactics that you would call out?
Lisa Harper: I think that it was less - there was less pressure to clear than there had been in third quarter, number one. So - and because receipts mitigated at the end of the year. We really had our early spring receipts as we mentioned in the body of the comments. We also are starting to see some positive movement in gross margin efforts. So some of the promotional and marketing strategies that we have put in place are starting see some leverage in gross margin. And so, I think the rate was slightly better than we anticipated. And that - just by smidge, but we're still making better progress and less of a delta on a year-over-year quarterly gross margin basis. So I think - the nice news on that is some - for us internally some when we didn't have the excess inventory that was overwhelming at the level of business we are actually able to employ some of our strategies to see some margin improvement and that's positive as we move forward.
Mark Altschwager: Great, thank you for all the detail.
Lisa Harper: Thank you.
Operator: Our next question is from Corey Tarlowe with Jefferies. Please proceed.
Corey Tarlowe: Hi, good afternoon and thanks for taking my questions. So Lisa, I wanted to ask you on new customer acquisition, you have clearly emphasized that stores serve as a great way to acquire new customers. But I'm just curious over the last quarter, what has worked from a marketing or product perspective obviously outside of stores that has really helped to drive some new customers into the Torrid brand?
Lisa Harper: So, we look at the total customer file and one of the big successes we had last year was customers who have lapsed bringing them back to the brand. And so that was a growth area for us in the customer on scenario. We've also just - this didn't really apply as much to last year, but some of the nice things that we're seeing early this year, as we've just switched to a new digital marketing agency with a very clear strategic direction to build customer file throughout all categories, reactivation of new customers and then focus on retention and frequency as well. And we're feeling like we're on the right path in terms of doing that. But to your point in reinforcing what we said in the call, what has really worked for this business over many years is the customer experience that she has in the dressing room in the stores as a new customer, her conversion into an omni customer and the incredible lifetime value and dedication that customer has with very high retention rates. And that is fundamentally the underlying philosophy of this business of this organization. Definitely omni, the most effective, most productive opportunity for us to acquire new customers, retain them and build frequency is through the store experience. All of our data on the customer experience in the stores is the highest I've ever seen in the retail environment. And that opportunity to get her in the dressing room and double the regular store conversion rate by getting her in there. And then the long focused marketing strategy is to build frequency are really the strategy that we're moving forward. And move that customer quickly to an omni environment, because they do spend more as an omni customer. So that's simply is the story. And by moving from I think when I walk in the door, there's a - all of the focus in marketing was top of funnel awareness and on consideration, moving that to a much more robust 360 degree focus that starts with the journey that the customer has primarily in store. So we'll start opening more stores this year and we will accelerate that as we move into following years. We have all of the data that we need to indicate, that this is a very sound business strategy for us as we move forward. And we're going to go into this very thoughtfully, strategically with a test and react mentality as we do this, but I'm feeling excited about the opportunity, the runway that we can build by reigniting this method that we've used historically and the brand to drive the growth of the brand. That was a big answer to your question, Corey. So I hope - I answered what you wanted to hear.
Corey Tarlowe: Yes, thank you very much, that's very helpful. And then just, Tim, we've talked about controlling the controllables. I know that, that is your focus. And I recognize there's a lot that you probably couldn't control at the onset of COVID, and now there's probably a little bit more in your control now than there has been in quite some time. But as you think about what you can control and you think about prioritizing those actions that you need to take, how do you think about ranking some of those aspects that - you have on your priority list?
Tim Martin: Yes. I think we look at sort of the biggest and the best bank for our buck and that's always going to be managing inventory and how we buy, rank and sell through the product. That's always going to be the biggest contribution to profitability and growth of this business. I think overall, we're also going to dig into every aspect within SG&A. We're going to look at how we staff our stores, how we're compensating our store associates, how efficient we can be in the distribution center and how we can drive efficiencies to leverage SG&A - the lowest possible sales volume as possible. So, we're taking a look at pretty much everything, how we buy bags in stores, how we're doing distribution of store supplies. Basically, everything and anything that is driving cost in the organization or causing inflationary cost pressure we're going to take a look at.
Corey Tarlowe: Great. That's very helpful. Thank you very much and best of luck.
Tim Martin: Sure.
Lisa Harper: Thanks.
Operator: Our next question is from Jonna Kim with TD Cowen. Please proceed.
Jonna Kim: Thank you for taking my question. Just curious what you're assuming in terms of the promotional environment in your guidance? And also, as you continue to open new stores, have you noticed any difference in the store ramp and performance of your new stores versus historical levels? And how do you think about store productivity as you continue to open stores? Thank you.
Lisa Harper: Right, so as we considered this year, we realized we were coming off of a very aggressive promotional environment due to the inventory scenario that we had at the company. So, we're taking a measured approach. We don't think we can just pull the rug out from under the customer that we have to be compelling from a promotional story, but we're also focused on mitigating that over time with smaller events and more margin-rich events as we move forward. And then again, of course, inventory management will help control that promotional environment as well. So we're focused on all of those, things. We don't have - we haven't opened a lot of stores in the last four years. So COVID to now, we really haven't been opening a lot of stores. The stores that we are opening and the performance that we're seeing for new stores are very, very healthy. Our ramps, we basically don't have a ramp. Our ramp is very, very fast on stores. And our new - of the limited number of new stores that we've opened, they are hitting or beating their pro forma. So we're happy with that.
Jonna Kim: Got it, thank you.
Lisa Harper: Thank you.
Operator: Our next question is from Don Carden with William Blair. Please proceed.
Dylan Carden: Thanks. I guess a sign-up on that one on the promo, I mean, I kind of understand that, but there's a lot of margin to put back into the business for just stabilizing gross margin from a promotional standpoint? I mean what's the risk that you kind of after two years, did that customer fully used to a more promotional business like you?
Lisa Harper: So we're pulling back this year, to be clear. What I said is we're pulling back and being more, I would say, surgical amounted and that because we don't have an inventory issue that we are not, having to be highly promotional. The other thing that's going to make a difference for us as we move forward is really fundamentally how we by product, by channel, how we rank product and using all the analytics that we have at our disposal to make better inventory investment choices based on customer behavior. So the quality of the inventory and the channel assortment of the inventory, the overall investment, combined with much more surgical promotional cadence is a combination of how we see moving forward. So we think we'll have a level of recovery this year, and then we should be back next year in due time to some historical merch margins. So it's - we're not trying to get it all back in one year, but we also are telling a different promotional story than we had been telling and managing inventory more appropriately by channel, which allows us to pull back on the promotional messages as well.
Dylan Carden: So the offset then as it relates to kind of the language around gross margin guidance for the year would be input inflation, cost inflation?
Lisa Harper: I'm sorry, I don't want to - could you ask that again?
Dylan Carden: Yes, so there is - so I thought that the gross margin commentary is more or less a stabilization of gross margin. And so, I guess if you are pulling back even to some extent on promotional activity, why you wouldn't expect to give - why there would it be more flow through the gross margin?
Lisa Harper: There is flow through the gross margin. We're just mitigating that to make sure that we're not - that we are up against a highly promotional year. We don't think we're going to get it all back in one year, and we're doing - we're thinking about the recovery over a two-year period. The question is now quickly that comes through. And then - and we also, I would say, have factored in - is a variable related to an uncertain economic situation. And so, there is - a balance between what we've invested, margin recovery and some, I guess, some hedge against macro environment an economic issues. Does that make sense?
Dylan Carden: So gross margin, yes, I think I just misunderstood the language around the commentary for gross margin?
Lisa Harper: Gross margin - expands this year.
Tim Martin: Yes, we do expect expansion in gross margins.
Dylan Carden: And no - okay. I'll take that offline. And my actual question was more along the lines. So it sounds like sort of inventory is a big piece of the recovery this year. Is that are you increasing the frequency of newness? How are you thinking about kind of like the architecture kind of coming out of this year, last year, yes?
Lisa Harper: The newness is similar to prior years. The breadth and depth of that newness is, it might be slightly different and shifted. But in general, we're not changing the rhythm of the business. We're changing how we're buying it and how we're promoting it. And that just the base level of inventory will help mitigate and soften the level of promotions. So - and we know that, but I'm just - what drives this customer are new ideas, new product, new fashion, studios, those types of things. And so, we're - we have a calendar for the year of introducing new ideas to this customer, which - so there are two things that we really think about the business, is store expansion, customer acquisition related to that and the drive to omni. And then the launch of new ideas to the customer, not always just fashion, but core ideas as well. Because we can provide everything she needs to buy for her closet. And so, we focused on those - that as well as we move forward.
Dylan Carden: And then last year, as far as from a mix standpoint - am I correct in remembering that they're sort of skewed more towards basics and less occasion?
Lisa Harper: Well, we overbought everything last year. Well certainly, we're not left out when inventory was split around. The approach to basics was we just didn't -- we weren't as aggressive because of the longer shelf life of that product. And so, we have a bit more time this year to work through the basics, and we just made sure that we were as plain as possible in any prior season clothes and that we've started the year as fresh as possible and we did. Our fall holiday inventory is down substantially. The increase in inventory, the OP is really related to spring, early receipts - are on-time receipts because of supply chain challenges in the past. So happy - I am happy with what we're - how we were able to get through the excess inventory last year without - taking the liability into this year.
Dylan Carden: Right, thank you very much.
Lisa Harper: Okay thanks.
Operator: Our next question is from Brooke Roach with Goldman Sachs. Please proceed.
Brooke Roach: Good afternoon and thank you so much for taking our question. My question is on the marketing outlook for the year. Can you talk to any further changes that you see on the horizon to improve the customer engagement? And do you need to reinvest some of the promotional recapture into additional marketing spend to continue to fuel the business' growth?
Lisa Harper: Sure, hey Brooke, thank you for your question. What I would tell you is that we've engaged two new digital marketing agencies. One is a more traditional approach where we have a strategy. We deploy the funds within that strategy. They optimize it and make the investments. As we move through with the new agency that is much more focused on retail in general than our previous agency was, we will invest as we start to see productivity in that. We are also testing with a different agency things like connected TV, very small, very minimal, but again, giving us the visibility to how we should invest, and we will continue to invest as we move forward. I think on a multiyear basis, as we start accelerating store openings, we will also supplement that customer acquisition with more investment in marketing as we move through and not just marketing for top of the funnel, but marketing to actually also drive customers to the stores, so that they can convert at a higher level there and become omni. So I think I'm very happy with - I'm very pleased with the marketing team that we have in place and their strategic approach to the business, and we're seeing nice progress there. So to year-end, once we see productivity, we will continue to invest in to that productivity. And on a longer-term basis, we are anticipating a higher level of investment, particularly to support the customer acquisition through both stores and digital.
Brooke Roach: Thank you. And if I could just ask one more for Tim, can you speak to your priorities for cash use, including the debt level and any plans for potential repayment this year? Thank you very much.
Tim Martin: No, our plan to - any excess cash we have right now is going to be focused on growing the business and that store growth that we talked about. It seems to be the best source of generation, both of new customers and return on investment. So that's the number one focus as of today. And we'll see as the business evolves through the course of the year, where we are, but we're very comfortable from a liquidity perspective. We're very comfortable with cash flow generation. And we feel like, we've got enough to manage what we need to do to grow this business. And then beyond that, we'll come back with the highest and best use after we've focused on that growth.
Brooke Roach: Thank you. I will pass it on.
Lisa Harper: Thank you.
Tim Martin: Thanks.
Operator: Our next question is from Alex Straton with Morgan Stanley. Please proceed.
Alex Straton: Thanks for taking my question today. Two from me first on SG&A, I'm trying to understand how much of the $7 million to $8 million number this quarter was unusual and how you think about that going into 2023? And then second, a bit related to the last question, it looks like cash levels are at the lowest of the year and down quite a bit year-over-year. It seems like that might be normal cadence for you, but I want to understand, is that right and kind of how you feel about cash levels at the moment? Thanks.
Tim Martin: Sure. I'll answer your second question first. We're very comfortable with cash levels. It is a seasonal thing as we come out of the holiday and also as we built up the inventory that we came through last year with - we paid that off. So I'm not at all concerned about cash flow or liquidity as I mentioned we have more than an ample amount of liquidity and we'll drive the business to generate incremental cash flow throughout 2023 and we'll focus on that cash flow on investment as a growth vehicle to primarily the store things we talked about. From a SG&A perspective in the fourth quarter, I kind of tried to address in my commentary we had about $2 million related to severance related activities. Those were included in our SG&A backed out for adjusted EBITDA. And then we had close to $1 million associated with some non-cash write-off of some assets that we no longer were utilizing in our technology space. So those are the - looks quantities of the SG&A unusual items. I did breakout for you in my script the basis point impact of that which was 70 basis points of our increase was due to severance and 40 basis points due to the disposal of assets.
Alex Straton: Great, thanks.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to management for closing comments.
Lisa Harper: Thanks so much for joining us today and your interest in the company. We look forward to sharing our progress with you as the year progresses.
Tim Martin: Thank you, everyone.
Operator: This will conclude today's conference. You may disconnect your lines at this time and thank you for your participation.